Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2012 Silicon Motion Technology Corporation Earnings Conference Call. My name is Edwin and I will be your conference moderator for today.[Operator Instructions]
 Before we begin today’s conference I have been asked to read the following forward-looking statements. This press release contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, and Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements include, without limitation, statements regarding trends in the semiconductor industry and our future results of operations, financial conditions and business prospects. Although such statements are based on our own information and information from other sources we believe to be reliable, you should not place undue reliance on them.
 These statements involve risks and uncertainties, and actual market trends and our results may differ materially from those expressed or implied in these forward-looking statements for a variety of reasons. Potential risks and uncertainties include, but are not limited to, continued competitive pressure in the semiconductor industry and the effect of such pressure on prices, unpredictable changes in technology and consumer demand for multimedia consumer electronics, the state of, and any change in our relationship with our major customers and changes in political, economic, legal and social conditions in Taiwan.
 For additional discussions of these risks and uncertainties, and other factors, please see the documents we file from time to time with the Securities and Exchange Commission. We assume no obligation to update any forward-looking statements, which apply only as of the date of this press release.
 I would now like to hand our presentation over to our host, Mr. Jason Tsai, Director of IR and Strategy. Please proceed, Mr. Tsai. 
Jason Tsai: Thank you, Edwin, and good morning, everyone. Welcome to the Silicon Motion first quarter 2012 financial results conference call and webcast. My name is Jason Tsai. I’m the Director of IR & Strategy. With me here is Wallace Kou, our President and CEO; and Riyadh Lai, our Chief Financial Officer.
 The agenda for today is as follows: Wallace will start with a review of some of our recent business developments; Riyadh will then discuss our first quarter financial results and provide our outlook. We’ll then conclude with Q&A.
 Before we get started, I’d like to remind you of our Safe Harbor policy, which is read at the start of this call. For a comprehensive overview of these risks involved in investing in our securities, please refer to our filings with the U.S. SEC. For more details on our financial results, please refer to our press release, which was filed on Form 6-K after the close of market yesterday.
 This webcast will be available for replay on our website, www.siliconmotion.com for a limited time. To enhance investors’ understanding of our ongoing economic performance, we will discuss non-GAAP information during this call. We use non-GAAP financial measures internally to evaluate and manage our operations. We have therefore chosen to provide this information to enable you to perform comparisons of our operating results in a manner similar to how we analyze our own operating results. The reconciliation of the GAAP to non-GAAP financial data can be found in our earnings release issued yesterday. We ask that you review it in conjunction with this call. With that, I would like you to turn the call over to Wallace. 
Chia-Chang Kou: Thank you, Jason, and thanks to everyone for joining us for our first quarter earning call. I’m excited to be speaking with you again. As expected, revenue of the first quarter declined seasonally to $64 million but increased 48% year-over-year, our ninth consecutive quarter of annual revenue growth. This quarter our new growth product which consists of our LTE and SSD plus embedded products increased 20% sequentially.
 The sequential growth of our new growth product was driven by our eMMC controller for a major NAND flash maker going to production and the commercial launch of 4 new Samsung LTE smartphone using our LTE transceivers. We’re pleased by the momentum of our new growth products and believe this momentum will continue over the next many quarters as our pipeline of design wins go into production and scale up. This quarter we delivered $0.41 in diluted earnings per ADS, significantly more than the $0.18 in earning that we delivered a year ago. Riyadh will discuss our financial performance in greater detail later on the call.
 First, let me provide a review of our mobile storage business, specifically, our card controller product. This quarter, overall demand of memory card was seasonally weak led by sequential decline in overall global smartphone shipments. In the first quarter, most industry analysts believe global smartphone unit sale declined over 10% sequentially. And global handset unit sale declined over 15% sequentially. We were affected by the seasonal weakness but were considerably less impacted.
 In contrast to the broader market weakness, our mobile storage revenue only decreased 2% sequentially. Our overall controller unit sales increased 1% sequentially and our card controller unit sale increased 5% sequentially. Our card controller business was able to beat the seasonal weakness because of several key reasons:
 First, our card controller are being used by smartphone OEMs that are gaining market share. These OEM include Samsung as well as Chinese OEM manufacturing low cost smartphones for the Chinese domestic market and export market. Second, we also believe we continue to gain market share this quarter because our technology leadership, competitive solution and close relationship with OEMs. And finally, module maker using our controller absorb large amount of flash component releasing to the marketplace as the flash makers manage their inventory. Many of these module makers are making card for Chinese OEMs to bundle with their low cost smartphones.
 In the first quarter, our OEM business decreased by about 5% as expected but still account for about 50% of our controller sale in the quarter. Sale to our module maker customers in the first quarter was however stronger than expected as a result Chinese module maker procuring low-cost NAND flash to build card for bundling with growing low-cost smart phone market.
 Visibility of sale to the module makers, however, even for China bundled card market is poor, in contrast to the better sale visibility that we have with OEM, because module makers do not own the source of flash and are very opportunistic in how they manage their businesses. Despite the challenging market of card controller, we are pleased by the ramp of our eMMC controller. As you may remember, we began initial mass production late in the fourth quarter of last year, with some of our module maker customers.
 We are pleased to announce that in the first quarter our eMMC controller entered mass production with one of our NAND flash partners. And the way that delay [ph] in the second quarter our eMMC controller will enter production with another NAND flash partner. Our flash partner is packaging our eMMC controller with their flash to manufacture eMMC memory module MMCP. MCPs are memory modules that contain in addition to NAND flash, mobile DRAM. eMMC memory module and MCP using our controller have already began shipping to several leading Asian OEM for many of their smartphones including some highly anticipated global flash modules as well as their low cost smartphones.
 We have been working with our NAND flash partners for over a year now in developing our industry leading eMMC controllers and are proud to say that we have one of the best performing controllers in the market with outstanding power management, data retention and high [ph] performance capability. All while offering one of the most cost competitive solution available in the market today. We have, in addition to our superior controller solution, unmatched capability to support our NAND flash partners, including smartphone system level knowledge as well as a deep understanding for how NAND interface and interact with different application processors running different operation system platforms.
 Our unmatched capability also include our ability to support both our NAND flash partners as well as their smartphone OEM customers with our comprehensive technical expertise and global support infrastructure. It is because of these reasons that our eMMC controller have been able to secure design wins with our NAND flash partners, and they, in turn, are able to secure design wins with many of the leading global smartphone OEMs.
 At the start of the year, we had about 12 eMMC design wins, and we have increased this with 2 additional smartphone OEM wins. We now have the wins with 5 major global handset OEMs for multiple handset models as well as 2 top tier Chinese smartphone OEMs. While not all our design wins will go into production, we expect all our major ones, all the one with our NAND flash partners to enter mass production this year. With the first half beginning production this quarter. We believe our eMMC product are on track to be very significant growth in 2012. And our eMMC is a very important part of our new growth products.
 Let me now turn to our new growth product, our LTE transceivers. In the first quarter we begin shipping our new Samsung LTE smartphone for Sprint, MetroPCS, and US Cellular. These 4 new LTE smartphones are the Galaxy Attain 4G, Galaxy S Aviator, Galaxy Tab 10.1, and Galaxy Nexus. With the rollout of these new Samsung LTE smartphones, our LTE transceiver are now used in smartphones marketed by 4 LTE carriers, previously Verizon and MetroPCS, now also Sprint and US Cellular.
 As we have discussed last quarter, we have 5 design wins that will run in the first half of 2012, and we are well on the way to meet this target. I am also pleased to announce that we have secured an additional 2 new design wins for the second quarter and 4 design wins for the second half of 2012.
 We believe that Samsung as a world leading vendor of LTE smartphones remain committed to their internal LTE baseband program. Similarly we remain committed to supporting Samsung LTE baseband with our LTE transceiver solution. We are confident that our LTE related revenue will grow strongly through the rest of the year even as Samsung splits its LTE baseband procurement between its internal solution and external suppliers. Overall, I am pleased with our first quarter performance. While the overall marketing environment is challenging today, our new growth product along with our continuing leading controller technology for our core product will allow Silicon Motion to maintain a strong growth throughout 2012.
 I will now turn the call over to Riyadh to discuss our finance. 
Riyadh Lai: Thank you, Wallace. First I will outline our financial results for the first quarter and then I’ll provide our second quarter and full year -- our second quarter guidance. As Wallace had mentioned, we delivered $64 million in sales this quarter, a 5% decrease compared to the prior quarter and a 48% increase compared to the first quarter 2011.
 In the first quarter, sales from our new growth products increased 20% sequentially. New growth products accounted for 18% of total sales, up from 15% of total sales in the prior quarter. Let me recap the performance of our 3 key product lines for the benefit of our audience:    
 First, mobile storage. Mobile storage revenue decreased 2% sequentially and increased 48% year-over-year. Mobile storage controller shipments increased 1% sequentially and 38% year-over-year. ASPs decreased by 3% sequentially, but increased 7% year-over-year, our ninth consecutive quarter of annual ASP increases.
 Our card controller revenues decreased by 3% sequentially and our USB controller revenue decreased by 13% sequentially. Over 70% of our controller sales are for 2x nanometer NAND flash, including the new 19 to 21 nanometer flash. As comparison in the fourth quarter, controllers for 2x nanometer NAND flash were about 65% of our controller sales. TLC controller revenue in the first quarter was about flat sequentially and continues to account for nearly 50% of our controller sales in the quarter.
 OEM revenue decreased by about 5% sequentially and accounted for about 45% of our controller sales in the first quarter. Moving to mobile communications. Our communication business increased 3% sequentially as new design wins for our LTE transceivers began ramping in the quarter, more than offsetting weakness relating to transceivers for our 3G EVDO phones.
 Our revenue from our multimedia SoCs, primarily our legacy graphics processor products, decrease by 10% sequentially. Our corporate gross margin decreased slightly in the first quarter. Gross margin fell 30 basis points from 49.8% in the previous quarter to 49.5% this quarter. In the first quarter, operating expense increased to $16.8 million from $16.6 million due to higher compensation expenses. Head count at the end of this quarter was 656 employees, 14 more than at the end of the previous quarter. Operating margin decreased to 23.3% this quarter from 25.1% last quarter.
 We generated diluted earnings per ADS of $0.41 in the first quarter, down from $0.47 per ADS in the fourth quarter but up significantly from $0.18 per ADS a year ago. Overall, we are very pleased with our P&L performance this quarter. Stock-based compensation in the first quarter declined to 1.6 million from 2.8 million in the fourth quarter.
 I will now move to our balance sheet and cash flow. Inventory days increased to 92 days in the first quarter from 81 days in the fourth quarter. DSO increased to 57 days in the first quarter compared to 50 days in the fourth quarter. Payable days increased to 54 days in the first quarter compared to 48 days in the fourth quarter.
 In the first quarter, our cash balance increased by $3 million to 94.7 million at the period’s end. In terms of primary source of cash, we generate $14 million in net earnings, in terms of primary uses of cash, an increase in AR consumed $3 million, an increase in inventory consumed $4.8 million, a decrease in payables consumed $3.5 million and we invested $0.7 million for testing equipment software and design tools.
 I will now move on to our guidance. In the second quarter, we’re facing challenging market conditions for our cards and USB flash drive controllers, offset by our accelerating sales of new growth products. Currently, market conditions for card controllers are challenging for several reasons and retail demand for cards is weak. Smartphone sales remained seasonally weak, though we believe smartphone sales and related bundled cards by OEMs will increase when new smartphone models are rolled out over the next few months.
 Current NAND flash price volatility is affecting the visibility of our module maker sales and the willingness of module markers to buy flash components and build cards. We’re partially shielded from the full exposure of the challenging market conditions by our bundled business relating to smartphone OEMs that are gaining market share and Chinese OEMs ramping low cost smartphones, but nevertheless believe our overall second quarter card sales will be lackluster.
 Sales of our new growth products, on the other hand, are accelerating rapidly, as eMMC and LTE design wins that went into production in the first quarter scale up and new eMMC and LTE design wins enter production in the second quarter. Our new growth product revenue growth in the second quarter will accelerate and grow significantly faster than the 20% growth in the first quarter. The proportion of our total sales from new growth products will increase further in the second quarter. Our mobile storage and mobile communication product line revenue will both grow in the second quarter as a result of rapidly growing eMMC and LTE sales.
 For our second quarter guidance, we expect second quarter revenue to be flat to up 10% sequentially. We expect first quarter gross margin to be within the 48% to 50% range. We’re targeting operating expenses to be in the range of $17 million to $18 million. Stock based compensation expense should be roughly $3.2 million to $3.7 million. Our target mobile tax rate remains at 15%. For the full year 2012, our previously provided guidance remains unchanged.
 We will now open the call for your questions. 
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Daniel Amir from Lazard Capital. 
Daniel Amir: So, first of all I guess on the LTE business, there’s been a lot of talk around Qualcomm’s issues with the 20 nanometer stuff. Are you still thinking that the split with the transceiver business will be 50-50 this year, or do you feel that you’re seeing design momentum with Samsung more than you expected maybe 2 or 3 months ago? 
Chia-Chang Kou: We hope we can split through Samsung [indiscernible], but it’s up to Samsung decision. I think Samsung global configuration [ph], how they really are selling [ph] internal solution and external suppliers, external solution. So really we don’t know. We cannot comment Samsung decision. 
Daniel Amir: Okay. And related to kind of the eMMC strategy, I mean it sounds like this is going well and maybe even above your expectation. Can you quantify a bit more the opportunity that you see here? I mean how should we be looking at this going forward? I mean is this really something that’s going to be a big driver to your business in the second half? Any more clarification on that would be great, thanks. 
Chia-Chang Kou: We are very excited about to see the growth of our eMMC because we have a very strong design pipeline design win in front of us. The reason as I mentioned we are able to win more design for the flash maker’s eMMC solution because we have very strong geographical supporting infrastructure. Supporting eMMC design win compared with the card is probably 3x or 4x complicated because we have very low [ph] infrastructure office in China, in Taiwan, in U.S., Japan, Korea. So we’re capable to quickly supporting that the major mobile phone and move into production. Particularly this year, major growth from the low cost smartphone in China, several major smartphone makers, they really are ramping up very aggressively. We are fortunate to be in this design pipeline. 
Daniel Amir: Okay, than my final question, then I’ll go back into the queue. With regards to the card market, it looks like you are outperforming kind of the market currently given probably your exposure a bit more to kind of the China handset side. What type of visibility do you have there I mean this, could this be an issue going forward if we have issues in the China handset market given your exposure there or lack of visibility or do you feel the adoption rate is accelerating and therefore this is definitely a multiple quarter growth business for you guys in China? 
Riyadh Lai: Daniel, this is Riyadh. Going -- taking a multiple quarter look at our business, our card business. We believe we’re going to be outperforming the handsets industry as a whole, the smartphone industry as a whole. We’re going to be outperforming for 2 reasons: we’re in the programs of the smartphone OEMs that are gaining market share, and in addition to the smartphone OEMs who are gaining market share, we’re also going into the Chinese low cost smartphone OEMs that are rapidly growing that segment of the market.
 That’s a very fast growing part of the segment and it’s also scaling to a fairly large unit market. But that part of market is being serviced by both NAND flash vendors as well as module makers. On the module maker part of that business, module makers making cards for the Chinese smartphone OEMs, visibility can be a bit cloudy. These module makers are opportunistic, they do not own flash, so if they think that they can quickly buy flash, turn them around into cards and make good profits, they’ll do it, but by nature of their business, it’s quite opportunistic and so it’s very difficult for us to forecast properly how this business will grow over next few quarters. But that said, if we look into the underlying trends of the Chinese smartphone market that part of market will definitely grow over the many, next many quarters. 
Operator: And your next question comes from the line of Anthony Stoss, from Craig-Hallum. 
Anthony Stoss: Hi guys. Just also following on the eMMC side, are you able to respond quicker to designs? Have you guys gotten better in terms of your ability to turn requests? Also are you limited in any way in production, you had some bottlenecks at TSMC in terms of overall capacity, I’d love to hear your thoughts there? And then the last or third part was USB 3.0. Just what you are expecting in terms of a ramp throughout the year? Thanks. 
Chia-Chang Kou: Regarding eMMC, every design, every customer doesn’t matter small or big and it goes through the design qualification process. We definitely are able to react very quickly when there’s the issue [ph] because we have a low infrastructure [ph] in our sales office with technical support, in Beijing, in Shanghai, Shenzhen, U.S., Korea, Japan as well as Taiwan. So we are able to react very quickly work with the flash partner to resolve the issue quickly. Regarding the capacity issue, we don’t think we have a capacity in TSMC, which is our major foundry supplier, because we are not in 28-nanometer, we’re not in 40-nanometer yet. Majority we are in 110-nanometer as well as 55-nanometer moving forward. So we feel comfortable regarding some capacity and supply from our major suppliers. 
Anthony Stoss: And then USB 3.0? 
Chia-Chang Kou: USB 3.0 we just start to ramp into production smoothly. However, the current market demand still not that strong, but we believe we’re going to ramping up when Intel Ivy Bridge and base platform come to market. So we believe second half USB 3.0 will have a more significant revenue contribution to our company. 
Operator: The next question comes from the line Rajiv Gill from Needham & Co. 
Rajvindra Gill: Just on the mobile com business if I can in Q1 it seemed it was up about 3% sequentially. Can you maybe talk a little about the piece parts in more detail, the mobile TV and then the LTE business if you could kind of elaborate. You had mentioned that you saw some softness in 3G video sales, EVDO transceivers sales that was offset, any color there would be helpful. 
Riyadh Lai: In our mobile communications product line we have 3 key products.  We have our LTE transceiver solutions, we have our mobile TV solutions and we have EVDO transceivers that we sell primarily into Chinese handset OEMs. In the first quarter, our LTE sales were very strong, our mobile TV related ICs were flattish and our EVDO transceivers for the Chinese market, that part of the market decreased. 
Rajvindra Gill: And what’s the proportion of each of those segments? 
Riyadh Lai: Our mobile communications business is, last year, this is looking at 2011 full year numbers, our LTE accounted for roughly 40% to 50% of the mobile communication segment, and the rest is composed of our mobile TV and the China EVDO transceiver. 
Rajvindra Gill: So you saw very strong ramp in LTE in Q1. Can you maybe talk about the pricing on LTE transceivers? Are you offering kind of volume discounts as Samsung ramps, any color there? I know in the past, you had said something like sub $10 for both of those transceivers? 
Chia-Chang Kou: Well I think that when volume going up and the bigger Japanese price would go down, but we think we are major partner with Samsung, we definitely will handle very well there. 
Rajvindra Gill: And on the partnership with Samsung, can you talk about the nature of the agreement? Is it a multiyear agreement? How confident that they will continue to work with you in say 2013 and beyond? 
Chia-Chang Kou: I think I cannot comment any contract detail but we work very closely with Samsung and with LTE in multiple product, and we’re also working for future beyond LTE transceiver related product [ph] too. 
Rajvindra Gill: In the mobile storage business, the weakness in card controller business is kind of understood. Are you seeing any kind of reduction in attach rates for bundled card as kind of [indiscernible] what [indiscernible] mentioned, any reduction there? Or the bundled cards having lower capacity as the OEM start to drive cost down? Anything like that? 
Riyadh Lai: We are seeing both, both reduction in the bundle rate as well as a reduction in average density of the cards that these phones are bundled with. In terms of if you were to look at the U.S. market, overall bundle rate has decreased I mean these are sort of bundle rates by -- of phones by models. For Android phones, it sort of has decreased from about 85% say 6 months-plus ago to about 75% of, 75% bundle rate that you are seeing right now, but if you were to drill deeper into the sort of this reduction in bundle rate, what you’ll see is some interesting trends.
 The most interesting one is that the lower density phones, the bundle rate remains very high. For example, the 2 gigabytes or less it’s still roughly about 100%. But as you move into the higher density, say 32 gigabyte, smartphones with 32 gigabytes of embedded memory, those phones, the bundle rate is effectively 0. So through the product mix that you are seeing, sales of higher density products, those phones would have lower attach rates of cards. But the big growth driver that we are seeing are the phones, the low cost smartphones especially the ones that are being produced in China for the domestic market as well as for exports to other parts of the world, those type of low density -- phones with low density embedded memory the attach rate of cards is still very high. In the U.S., it’s approximately 100%. 
Chia-Chang Kou: I think in addition, you look at bigger picture although overall card growth was slowed down in 2012, but we believe we will get more outsourcing business from major flash makers. So that will support our continued growth of our card business in 2012. 
Rajvindra Gill: Even when the attach rates could be kind of slowing down a bit? 
Chia-Chang Kou: That’s correct. 
Rajvindra Gill: Or outsource more. Okay, that’s interesting. And the second quarter, I think historically mobile storage was kind of up 5 to 10%, it’s going to be down this quarter. What do you -- what are some of the reasons that you think that it could pick back up again in the second half? 
Riyadh Lai: Rajiv, we have not said that our mobile storage was going to be down sequentially. Our total revenue we are expecting to be flat to up 10%. Mobile storage business will continue to do very well, especially since we have our eMMC products that are ramping. So we are expecting great things from our mobile storage in the second quarter and... 
Rajvindra Gill: No, I just want to clarify, I meant the flash card controller, specific segment might be? Any color there, actually I should rephrase, is that, any color on specific segments in the second quarter being... 
Chia-Chang Kou: Well, we can only say, we are ready for all the 19 to 21 nanometer TLC NAND. And we are the probably only one controller vendor, who are ready for all the different kind of NAND flash and ramping. So we do see we get [ph] more OEM business and we believe we will gain more outsourcing opportunity from NAND flash maker because card become more commodity business. 
Operator: Your next question comes from the line of Mike Crawford from B Riley & Company. 
Michael Crawford: Can you talk a little bit more about your SSD business? So it’s been a bit over a year since you first introduced your industrial Solid State Drives, the FerriSSD. So what’s going on there and then what are your prospects for your mSATA chips that I think are targeting more of a consumer market? 
Chia-Chang Kou: So regarding SSD business, it’s challenging. We are very clear in what we are doing now. In the past we focused on embedded SSD. Regarding Ferri, we’re doing very well. We’re going to see the transition from design win to mass production. So we are going to see good revenue strength in the second half of 2012.
 Regarding mainstream SSD, our focus will be mSATA naturally will be cache-SSD for the ultrabook as well as potentially desktop. We believe, I think in last quarter we mentioned we have one major design in the ultrabook for full size SSD, however our value and our future growth rely on cache-SSD which is between 24 megabyte to 34, 32 megabyte cache-SSD for fast boot and fast resumes, this will become major trend for ultrabook and as well as potential desktop application. 
Michael Crawford: Okay. Also on the LTE transceiver front, how many iterations of designs have you gone through with Samsung? 
Chia-Chang Kou: For different carrier, they require different backward compatibility [ph]. So, we have LTE transceiver, also LTE with HSPA+ and GSM or with EVDO, we also developing all band transceiver and we also prepare for the next generation LTE advance with Samsung. So, there are many different version and feeding different carrier different regions. 
Michael Crawford: On the competitive front I see Skymedi continuing to fade, Alcor coming on but they seem to be, I don’t know, 4 to 6 months at least behind you, they’re still developing USB 3.0 solutions and hoping to come out with a eMMC solution. A, do you see your lead increasing or decreasing over competitors like this, and, well, that’s part one of the question. 
Chia-Chang Kou: Regarding flash controller competitive landscape, we really did not see strong competitor in our market today. Although there are many, many -- several player announced some new product but we really don’t see near competitor in front [ph] of OEM bundled business. USB 3.0 as I said this year that overall percentage of the USB controller probably is small, maybe around only 20% but next year could be much higher, but we are very positioned our strategy [ph] USB 3.0, we started ramping in from last month and we believe second half we’re going to ramp more quickly. 
Michael Crawford: Okay. And then part, part two of that is, so it seems in Q1 you benefited a little bit from some weak NAND industry dynamics where a bunch of flash got dumped to module makers and that drove some business your way, but to what extent do you worry of a decline in capital investment from NAND manufacturers that then would slow the pace of technology adoption and give your competitors a chance to catch up to you? 
Chia-Chang Kou: We cannot comment particularly relate to any particular NAND manufacturing, but however, at the moment, still a lot of actual [ph] inventory NAND wafer in the market, so demand still soft, so we generally maintain very cautious position. As you know, we had very, very broad range of customer base. We almost in every major module makers’ design footprint for the reference design, so doesn’t matter which flash maker and manage our moving more for the inventory, I think we will be there. So we have very high confidence, although market is soft and that’s entering the market and the channel, we can maintain our position in market share and potentially getting more also the opportunity from flash makers. 
Michael Crawford: Okay, and then finally just on the balance sheet maybe Riyadh, the working capital grew in the quarter with inventory up, receivables up, days out up, and payables down so is that something you expect to reverse in this quarter or what -- how should we think about working capital management? 
Riyadh Lai: Yes 2 pieces to it. One is on the inventory side, last quarter our inventory was on the low side of what we normally have as safety stock, getting it back to about the 3-month level, that’s more consistent with the amount of inventory we would hold in prior periods. So this is sort of getting to a more comfortable level of safety stock at the 3-month level. In terms of other components of our working capital, we are expecting some reversal so we should expect to generate better cash flow from some of the reversal of these positions over this quarter as well as the next. 
Operator: Your next question comes from the line of Tom Sepenzis, from Northland Securities. 
Thomas Sepenzis: I was just wondering, the gross margin decline, was that due to mix? And how do you see that going forward? 
Riyadh Lai: It’s a very small change. Our gross margin came down by 30 basis points. So essentially still within our target area. We have a long term gross margin target of 50%, for this year our guidance is 48 to 50%, so it’s essentially in our -- in region, the gross margin region that we’re very comfortable with. I mean there are some changes in our product as you would expect, but it’s -- the gross margin change is very small. 
Thomas Sepenzis: Okay great, and what are you thinking in terms of the controller ASPs going forward and the card and the USB business? They’ve been up year-over-year, but they were down a little bit quarter-over-quarter and probably due to seasonality and some weakness in the NAND flash business overall. How do you see that going for the rest of the year? 
Chia-Chang Kou: Under today’s very tough market condition, we definitely face very challenging price pressure regarding ASP. However, we see through our better product mix support the 2x as well as the 1x nanometer NAND technology, we should be able to maintain our product mix. Especially the UHS-I card is coming maybe more in the second half, that will help to balance our gross margin. So we believe this should be decreased maybe a little bit, but overall we feel we can manage very well. 
Thomas Sepenzis: As capacity -- people slowed down the capacity builds in the NAND business, so do you think maybe it bounces back a little bit Q3, Q4? 
Chia-Chang Kou: I think we cannot comment who is really reducing the capacity because some they do increase their capacity for the NAND, but overall we see the new model smartphone going to try more, absorb more the NAND inventory, that inventory in the market today. We believe translation probably would be gone by before end of the Q2. We’re looking for very more exciting the second half of 2012 because there are lot of new device who are consuming new NAND including ultrabook and more tablet. 
Thomas Sepenzis: Okay, great. And then lastly the mobile TV business, can you just talk a little bit about that and what your expectations are for that? I think you said it was flat, about flat quarter-over-quarter. Do you see anybody else adopting that and how do you expect that will go for the next 12 to 24 months? 
Chia-Chang Kou: Regarding mobile TV, I think from unit wise we maintain flat or little even increase a little bit; however, ASP declined dramatically. With softer ASP declines on mobile TV SOC as well the tuner but we see there’s a new trend for potentially for the Korea for advanced T-DMB as well as in Japan ISTBT from 1-sect to multi-sect so that given more chance to develop a new product increase ASP as well as the gross margin. 
Operator: Your next question comes from the line of Doug Freedman from RBC. 
Doug Freedman: If I could just ask you to sort of clarify a little bit what you’re seeing in the marketplace. A few of your past answers have sort of alluded to an expectation of improvement, but when we look at SanDisk said specifically that they were going to stop supplying a certain portion of their product into the retail market. Have you seen any impact of that yet and what are your -- what are their competitors doing in response to that, that makes you comfortable that you believe the environment improves in the back half? 
Chia-Chang Kou: We cannot comment of the issue with SanDisk. We also working very closely with SanDisk. I can only say so as some card business, our USB business will become more commodity, so some flash makers who tries to put their main R&D into the high growth product line. They will continue to outsource commodity product to third party controller just like in Silicon Motion, but I think this is a very common trend for other flash maker. So I cannot comment whether what SanDisk try to do, but we’re looking forward we will like to become largest controller maker and supply all different type of NAND flash including future 3D memory. 
Operator: [Operator Instructions] As there are no further questions at this time, I would now like to hand the conference back to your presenters today. Please continue. 
Chia-Chang Kou: I would like to thank all of you for joining us today and your continued interest for Silicon Motion. We will be attending quite a few investor conferences over the next 2 months. In May, we’ll be presenting at Jefferies TMT Conference in New York, Citi Taiwan Investor Conference in Taipei, B. Riley Annual Investor Conference in Santa Monica and Craig-Hallum Institutional Investor Conference in Minneapolis. In June, we’ll be attending the RBC Communications Technology & Semiconductors Conference in Boston and UBS Investor Conference in Taipei. Details of these events are available on our website. Thank you and goodbye for now. 
Operator: Ladies and gentlemen that does conclude our conference for today. Thank you for participating. You may all disconnect.